Operator: Good afternoon ladies and gentlemen, and welcome to the Fourth Quarter and Fiscal Year 2017 Ocean Power Technologies Conference Call. My name is Latoya, and I will be your coordinator for today. at this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded for replay purposes. I would now like to turn the presentation over to your host for today's call, Mr. Andrew Barwicki.
Andrew Barwicki: Good afternoon and thank you for joining us on Ocean Power Technologies conference call and webcast to discuss the financial results for the fiscal year ended April 30, 2017. On the call with me today are George Kirby, President and CEO, and Matthew Shafer, Chief Financial Officer. George will provide an update on the Company's highlights and key activities for fiscal 2017. Matthew will then review the financial results for the fourth quarter and full year. Following our prepared remarks, we will open the call to questions. This call is being webcast on our website at www.oceanpowertechnologies.com and will be available for replay later today. The replay will stay on the website for on-demand review over the next several months. Last Friday, Ocean Power Technologies issued its earnings press release and filed its Annual Report on Form 10-K with the Securities and Exchange Commission. All of our public filings can be viewed on the SEC website at sec.gov or on the OPT website. During the course of this conference call, management may make projections or other forward-looking statements regarding future events or financial performance of the Company within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to numerous assumptions made by management regarding future circumstances over which the Company may have little or no control that involve risk and uncertainties and other factors that may cause actual results to be materially different from any future results expressed or implied by such forward-looking statements. We refer you to the Company's Form 10-K and other recent filings with the Securities and Exchange Commission for the description of these and other risk factors. And now, I’d like to turn the call over to George to begin the discussion.
George Kirby: Thank you Andrew and good afternoon everyone. Welcome to our 2017 fiscal year end earnings call. Today I'm going to review the progress we've made on our major goals of commercializing our PB3 PowerBuoy and positioning the company for the future. I'll begin with our commercialization efforts where fiscal 2017 was a year of significant accomplishments. In May of 2016 we entered into a PB3 PowerBuoy lease agreement with Mitsui Engineering and Shipbuilding which is valued at approximately $975,000. The PB3 PowerBuoy leased by MES was shipped to Japan in March of 2017 and successfully deployed off the coast of Kozu-Island in April. The unit continues to meet all of its performance requirements and our accelerated life testing program continues to increase our confidence level in the readiness of our design. This first commercial agreement with MES is a significant and exciting milestone for us because it enables MES to demonstrate the flexibility of the PB3 power and communications platform for a variety of applications in sea conditions off the coast of Japan. We redeployed our PB3-A1 PowerBuoy off the coast of New Jersey after integrating the National Data Buoy Center on our self contained ocean observing payload or SCOOP. We also entered into an agreement with the Wildlife Conversation Society to integrate a Marine Mammal Acoustic Tracking Center into the PB3-A1 in order to determine whether it can be used with the PowerBuoy to identify migratory patterns of marine species that have been tagged with acoustic transmitters in the mid-Atlantic region. The redeployment was successful in both powering the SCOOP and operating the Conservation Society Center payload allowing us the opportunity to advance discussions toward next steps with both parties. We deployed a second PB3 PowerBuoy which is our first commercial ready unit also off the coast of New Jersey. The commercial PB3 incorporates multiple enhancements over earlier prototypes including a redesign power take-off, a high-capacity modular energy storage system with expanded battery capacity, a higher voltage and more efficient power management distribution system and a new auto-ballasting system which allows for faster, safer and less costly deployment. Both power buoys operated off the coast of New Jersey throughout the second quarter. We've then retrieved our commercial unit number one, to prepare it for shipment to Japan for the MES fleets. This first commercial PB3 was ocean tested for six months and generated over 1.4 MWh of electric power. It achieved a single day peak production of over 30 kWh during its deployment which is an equivalent hourly average of over 1.25 kW for that day. We also retrieved our pre-commercial PB3 PowerBuoy which was subsequently upgraded its commercial status as our unit number two. We won an exciting new contract with the U.S. Department of Defense Office of Naval Research to design a new mass-spring oscillating PowerBuoy for mission-critical centers. This PowerBuoy design differs from the current PB3 and that it will be an anchorless, stationkeeping, low-profile PowerBuoy that would most likely power mission-critical surveillance centers and the buoy's controller and propulsion systems. Phase 1 of that contract scope included the system design and laboratory testing of the proprietary inertia-based mass-spring PTO and the selection of an electric propulsion solution to be integrated into the PowerBuoy. The objective of this first phase was to design and optimize the inertia-based generating system, evaluate the buoy propulsion system and carry out performance testing of critical PTO components. We currently have several patented solutions for mass-spring oscillating designs and we believe we will be able to leverage our intellectual property to address the Office of Naval Research needs. The proposed system is scalable and once completed could expand our entire product portfolio with more product options into commercial and defense markets. We will be finalizing this first phase of contract over the next few months. We executed two important collaboration agreements during the past year. One is a joint marketing agreement with Sonalysts to combine our technology with their systems integration expertise to better enable us to deliver real value to customers in the defense, communications, and oil and gas industries. In collaboration with Sonalysts we've engaged with potential end users and decision-makers in maritime subsea communications as well as in the traditional telecommunication market as it relates to cellular and Wi-Fi range extension applications or Wi-Fi overwater. We believe our combined capabilities uniquely positions us to address specific application requirements and potentially provides a strong value proposition to our target customers. The second collaboration is a joint application development and marketing agreement with HAI Technologies. We believe our combined technologies and capabilities can create a value multiplier in areas of the oil and gas industry and the disallowance will allow us to pursue mutual opportunities related to offshore oil and gas subsea chemical injection systems, where persistent power and real-time data communications are critical. Throughout the year we advanced discussions with several prospective customers located across the globe from multiple applications and we're considering numerous business initiatives in the U.S., Europe and Asia. The data we're obtaining from the PB3 operating in Japan is proving to be instrumental in our current sales and marketing efforts. We've initiated production of our third PB3 unit in order to meet anticipated demand as we continue to respond to customer requests for proposals. As mentioned in the news release we exhibited our commercial PB3 to potential customers and end-users and one of the largest global oil and gas events in the world, the Offshore Technology Conference. This conference took place in Houston Texas in early may was an important and successful business development and marketing opportunity for our company. In addition to sales and marketing, we're also focused on engineering and product development. We're taking steps to remove cost from our PB3 and we're continuing our design activities for our PB15 product. We recently achieved a significant milestone of more than 75 million cumulative strokes over our commercial fleet of five power take-offs, comprised of both ocean deployments and accelerated life testing. This simulates power take-off fleet cumulative ocean operation duration of approximately four years. We continue to life test our PTOs under extreme laboratory conditions in order to validate reliability which is valuable in proving consistent three-year maintenance intervals of the PB3. We believe this approach demonstrates the reliability of our commercial ready PTO design and adds significant credibility to the value proposition for our target markets. As these examples highlight, our commercialization efforts are gaining momentum. We've been responding to requests for proposals from multiple customers such as oil and gas operators and service providers. Applications range from subsea battery charging to providing oversight and security for deep sea production sites to mid-ocean data collection and communications. As a result of this activity we've increased our commercial capabilities through new hires in marketing and business development and through engagement of expert market consultants. We continue to believe that by acquiring new skills we can maximize our market outreach and new business opportunity creation. Fiscal 2017 was also a year of significant activities designed to position the company for the future. As part of our commitment to build a foundation of leadership for our growth and expansion in May 2016 we announced the election two new board members; Steven Fludder and Robert Winters. Both Steve and Bobby have brought a unique set of skills and experience to the company and have been instrumental in the Board's activities. We announced a relocation of our corporate headquarters and manufacturing center which we expect will be completed in the latter part of calendar year 2017. We believe our new facility in Monroe, New Jersey will position us to deliver products and services to customers globally quite dramatically expanding our manufacturing capabilities to support the increasing interest in our PB3 products. The new facility will also enable us to improve safety and quality while at the same time reducing manufacturing costs. In November 2016 we received nearly $700,000 through New Jersey's Technology Business Tax Certificate Transfer Program. This program enables New Jersey-based companies with fewer than 225 U.S. employees to raise cash to finance our growth and operations by selling net operating losses and R&D tax credits to unaffiliated corporations. The program is administered by the New Jersey Economic Development Authority and the New Jersey Department of the Treasury's Division of Taxation. Finally, we're happy to report that in November the United States District Court issued its final judgment approving the settlement of a shareholder lawsuit. I'll now turn the call over to Matthew who will discuss our financial results for the year.
Matthew Shafer: Thank you, George and good afternoon everyone. I will now review results for the fiscal 2017 fourth quarter and full fiscal year ended April 30, 2017. For the fourth quarter of fiscal 2017 we reported revenue of $250,000 as compared to revenue of $100,000 for the fourth quarter of fiscal 2016. The increase in revenues versus the prior year was due to higher revenue from our contracts with MES and the office of naval research in the current year as compared to the revenue in the prior year from our WavePort contract with the European Union for our former project in Spain and the billable work under our prior contracts with the Department of Energy. The net loss for the fourth quarter of fiscal 2017 was $2.6 million as compared to a net loss of $4 million for the fourth quarter of fiscal 2016. The decrease in net loss is attributable to lower product development and legal costs compared to the prior year and the decline in the fair value of the warrants liability in the current year. These were partially offset by slightly higher selling, general and administrative expenses in the current year compared to the prior year period. For fiscal year 2017 OPT reported revenue of $843,000 as compared to revenue of $705,000 for the fiscal year 2016. The increase in revenues as compared to prior year period was due to higher revenue from our contracts with MES and ONR in the current year as compared to the revenue in the prior year from our WavePort contract with the EU for our former project in Spain and the billable work under our prior contracts with the DOE during fiscal year 2016. The net loss for fiscal year 2017 was $9.5 million as compared to a net loss of $13.1 million for fiscal year 2016. The decrease in the company's net loss is due to lower selling general and administrative expenses, product development expenses, the decline in the fair market value of our warrants liability and lower income tax benefit in the current year as compared to the prior year. Turning now to the balance sheet, as of April 30, 2017 total cash, cash equivalents and marketable securities were $8.4 million. This is up from $6.8 million on October 30, 2016. In addition, restricted cash was $488,000 for the period ended April 30, 2017 as compared to $300,000 for the period ended April 30, 2016. Net cash used in operating activities was $10 million in fiscal 2017 compared with $10.9 million in fiscal 2016. As discussed in prior conference calls, we have taken a number of steps over the last several months to reduce our cash burn rate while focusing on business development, technical and operating resources on key initiatives particularly in commercialization of the PB3. Our operating cash burn in fiscal 2017 was lower than in fiscal 2016 despite increased deployment activity in fiscal 2017. As of the end of fiscal 2017 we have $8.4 million of cash on hand excluding the restricted cash previously mentioned. We remain confident in our cash position and we expect to have sufficient cash to maintain operations into the quarter ending July 2018. With that I'll turn it back to George now.
George Kirby: Thank you, Matt. Before we move on to Q&A, I'd like to take a moment to reiterate our laser focus on our multipronged growth strategy. We believe our market development efforts are really starting to pay off with multiple customers' requests for proposals that directly leverage our PB3 PowerBuoy. We're making measurable progress in product life cycle management and in securing meaningful new partnerships that are essential to our commercialization and our product delivery capabilities. We've demonstrated our commitment to growth by moving our operations to a new facility which offers a safer and more efficient workplace for our employees and the ability to deliver product to perspective customers around the world. I believe fiscal 2018 will be a liminal moment in our history, a year of transition with our eyes clearly focused on the opportunities that will fuel our growth, from new customers, new markets and new applications to new technology, new talent and the new facility. Thank you for your interest and time today and operator we're now ready to take questions.
Operator: Thank you. [Operator Instructions] We have a question from Peter Ruggiere of Dawson James. Your line is open.
Peter Ruggiere: How are you guys doing?
George Kirby: Hey Peter.
Peter Ruggiere: George a question for you. I was going through like the Navy contract you guys got last year and Phase 1 was supposed to be nine months, where you guys anticipated you would be ready for Phase 2 and I just heard you say it might be a couple of months longer than that because we're 10 months right now?
George Kirby: Right. We've applied for a no-cost extension and we're pretty confident that we're going to be granted that. We're in the process of that right now, so we anticipate at most a couple of months, probably sooner to be able to wrap that up.
Peter Ruggiere: Are there any other DOE or Department of Defense contracts out there anyway?
George Kirby: Well, unfortunately none that we've recognized or our partners that were working with have recognized that apply to our PB3. But I will tell you once we successfully finished the Phase 1 we would immediately submit for Phase 2 which would help us advance that design even further.
Peter Ruggiere: Right. You guys and after the last money raise you guys did, is there a restriction to raise any money in the near future or do you see in the registration statement $4 million on that. I must wonder if when you guys think you might want to raise more money so I mean you said you have enough money for a year plus basically.
George Kirby: Right, yes we raised capital in April, just simply because we saw it as over the longer term, but that's time to do so and now we're positioned and we're laser focused on commercialization. We are 100% focused on addressing the commercial markets right now and selling or leasing PowerBuoys, so really that is foremost on our minds right now.
Peter Ruggiere: On the MES you guys have been dealing with these guys since 2015 or so, why - how are they doing with pushing this to new customers because everything has so far been perfect from what you guys have said?
George Kirby: Yes, it's operating just as expected for them. I don't want to put words in their mouth, but they have expressed their pleasure around how the whole demonstration project has been going and they're helping us with penetrating I would say primarily within defense markets in Japan. We're seeing more and more of a demand. We are seeing more and more of a demand for forward observation posts and so forth in the ocean throughout Japan and they are helping us with different government contractors such as the Mitsubishi's and Hitachi’s of the world. So, those discussions still are ongoing right now.
Peter Ruggiere: I'm surprised you know if you guys have been commercialized and doing this for so long. Why – is there like is there really a market for these PowerBuoys, I mean I think they are, but I'm surprised you haven’t got a contract since everything is running correctly?
George Kirby: Yes, so first of all there's absolutely markets for this. Like I said, we're going after oil and gas, telecommunications, defense, any one of these markets they have their own gestation period or for opportunities for projects to happen. And also any one of these industries they demand a demonstration project upfront. So as soon as we identify an application where we can use our PB3 PowerBuoy for either a technical advantage or an economic advantage which is usually the case where we can actually, where we believe we can save the customer money. They want to prove it out in a singular demonstration project before they roll it out across their operations. When you're talking about, developing the technical application around the PowerBuoy or bind the PowerBuoy to the technical application and then all of the supply chain processes that go into it and legal and contracting, this whole process for getting to a project takes a very long time. Now that doesn't mean that that progress isn't being made, but it's a very long process with these big companies. You see, you really see the same process in any capital equipment intensive type of application.
Peter Ruggiere: Right, because when I saw you guys actually did that raise which I mean find it’s $1.30 and stuff like but you doubled, you put your cash there and then you doubled your office, your space working space. I figured there would be like maybe you got some of the big contract that was at very advanced stages right after you'd actually is to make a choice like that.
George Kirby: Well, when you look at the, when you look at the potential demand that we're seeing and you also look at what it would take for us to ramp our business up very quickly, we need the ability to build multiple PowerBuoys over the course of the year and grow that every year. In our current facility where we've been here for a couple of decades, our current facility is very, very space constrained. It's creating safety issues with employees walking around different testing and fabrication and assembly procedures. We needed to move into a local facility where we could keep our current talent intact and we could actually be able to increase our manufacturing throughput dramatically and we also needed to be able to do that very cost effectively with minimal to no cost increase relatively speaking on a monthly basis. And that was a challenging process, but we were able to find a great location in a building that that will significantly expand our capability to put more PowerBuoys through once this demand truly materializes.
Peter Ruggiere: It sounds great to me. Thank you.
George Kirby: Thanks Peter.
Operator: Thank you. [Operator Instructions] The next question is from James McGuiness [ph] a Private Investor. Your line is open.
Unidentified Analyst: Thank you. I really just wanted to ask you had mentioned at the – that you have some more marketing collaborations, I want to know if you could touch upon that, did you pull any new ones out of the Offshore Technology Conference this month or are we still talking about the ones for the past few years?
George Kirby: Well first of all James, it’s a great question. The ones that we announced over this prior fiscal year stand and we're actively working with them. The Offshore Technology Conference was very successful for us on many levels, one of which is around strategic partnerships. Now just like commercial agreements these partnerships take a while to materialize. Both parties need to do due diligence, there's financials involved and looking at if it's a manufacturing agreement for instance to look at the economics behind having someone help us manufacture, or if it’s a joint marketing agreement, how will we go to market together, who will we go after together and how will we work together. So there's a lot of leg work to be done around that. Now recognizing that, the conference was just in the beginning of May, here we are two months later wrapping up our 10-K, very small team trying to do a lot of work across the board, across corporate. These things take time, but from a success standpoint, I can tell you there was a huge amount of interest at that conference and quite a bit of followup is really all that I can say right now that we're doing. In fact, we're looking to bring on even more business development help right now because there's more interest let me just say than we can even respond to effectively right now. So we are all out trying to bring commercial agreements as well as strategic partnerships to bear.
Unidentified Analyst: Thank you and then just one last question with that reference I've noticed that you've been hiring for Human Directors, Systems Engineer, Electric Engineer. Have those - is that a sign of increased business that you're already aware of or is that something that's just you're looking for because you've expanded into the new – the new housing?
George Kirby: Another good question, so over the last, I will use me as a frame of reference over my last two and half years, we have lost some people, we have not added people when we needed to and that's also helped us control our costs. Right now, we're at a point where we actually need to start building that team back up to where it was when I came on board, that's what some of the hires are. An individual like the Director of Human Resources is becoming more and more critical for my team and I to be able to expand in a controlled manner, expand our team in order to position for growth. So for instance, as we're looking for business development help or marketing help, you have this management team working very late hours trying to materialize that, we need help in order to actually position ourselves for growth. So that's really what it's about, it's replacing people and it's also trying to bring in strategic people to help us grow this organization in a controlled manner.
Unidentified Analyst: Thank you very much.
George Kirby: Thank you.
Operator: Thank you. [Operator Instructions] We have another question from Alan Chubeska [ph] a Private Investor. Your line is open.
Unidentified Analyst: Yes. A couple of months ago, you started this joint venture with this HAI Technologies and it was about the chemical processing, they had a contract to do work with Total. About a month ago there was a Wall Street story about Total Energy that they are working with electrical, solar. They were going to use all the besides oil and gas, they are going to try to use other energy for their oil and gas business. Now Total is a huge company and you know the chemicals plants all over. How is that coming together?
George Kirby: That's a great question Alan. So, what we have initially kicked off with HAI is joint marketing around chemical injection systems and let me tell you what that means, we don't do chemical injection systems obviously HAI does. They're out driving demand with the operators for their novel approach, their modular approach to these systems. What we bring to the table is the ability to either directly power certain subsystems of that solution or to provide redundant power for safety, from a safety standpoint of what have you. So we are working with HAI in those regards. With regard to Total, we’re talking with Total as well, but HAI would be focusing on their chemical injection systems, we're talking about broader applications beyond that with all of these operators not just Total. And one thing that I’ll point out just simply because your question was very poignant, we're trying to build demand around our product in many, many ways. One is to go out to the end users which in the oil and gas side are the global operators. These are the groups that are going to be using our products and basically we spend time with these operators not because we anticipate that they'll buy our PowerBuoy, but because they'll demand our PowerBuoy be used in their systems. Often times these demonstration projects are commissioned by the operators to have our technology brought in and again it may be driven from a technology or an economic standpoint. Another way that we drive demand and where we actually look to contract would be with the engineering and service providers that provide these types of equipments to the global operators. So the operators will say to these service and equipment providers that they want our PowerBuoys packed into their solution and then we'll work with those providers in order to get that done. So there's multiple ways, we're trying to get a push-pull here to commercialize the PowerBuoy as quickly as possible.
Unidentified Analyst: Just a followup, off the Coast of Louisiana those are lower Shell or offshore drilling properties, have you ever considered putting up PowerBuoy and sharing revenues stating like this would normally cost you $300,000 but if we save you X amount of dollar, could we start to generate some oil and gas income off of that?
George Kirby: Yes another great question, Alan. That is one way to move forward that we have actually proposed. So in other words instead of a larger sum of money for one party to pay maybe you could pay for space on the PowerBuoy where it's generating enough power for multiple applications across multiple parties. We are looking at that. We're also looking to garner support around a demonstration project like that if you will where you could have, I use this as an example only, but maybe you have five or 10 parties on one PowerBuoy and just to gain commercial adoption and traction in launching the products. But yes absolutely, and to take it even further down the road it might not be about the PowerBuoy, it might be about the information that the PowerBuoy can provide by providing the power and the communications outlet. I'll give you an example. One of the global operators that we were talking to actually asked us, can we provide turnkey data? And it was a really interesting concept that we had already thought through and our response was naturally yes, we can. So in other words, this global operator didn't care as much about the power that it would provide. They wanted us to be able to provide information from their sensors real time and they were willing to pay for that in a lease. So, these are the types of discussions that we're having with parties all over the world right now in these markets that we're going after.
Unidentified Analyst: How deep can you like, just the other day they are discussing you know wind power, solar that it's pretty expensive in the U.S., but how about in over in England where they got some major wind power for monitoring things have any overseas properties talked to you?
George Kirby: Well, I think are you talking about utility grid connected power?
Unidentified Analyst: Yes.
George Kirby: Yes, right now we're really not focused on utility grid connected. If you remember back in 2015 we actually did a strategic pivot away from grid connected. We want to take our smaller units and apply them to industrial applications where there's a real economic benefit that we can take advantage of. Although I will say this, in the offshore wind industry there are we believe potential opportunities to either provide augmented power to the wind turbines or most importantly to be able to power things like LIDAR for collecting data necessary wind data over multiple years in order to actually develop the wind farms. There's already some companies that are doing floating LIDAR, but what's interesting is our Buoy not only provides a platform for the LIDAR system but it also provides the power and it's a redeployable asset. So that's something that we're not as heavily focused on just simply because of the fact that wind has been slowed, offshore wind has been slow to proliferate throughout the U.S. We believe that the fastest path to revenues is in some of these other target markets and identifying applications that we can replicate around the world with operators around the world that will be our fastest path to revenues.
Unidentified Analyst: Thank you for your time.
George Kirby: Thanks Alan.
Operator: Thank You. [Operator Instructions] There are no further questions in the queue. I will now turn the call back over to Mr. Kirby for any closing remarks.
George Kirby: Thank you, Latoya. I'm excited by the progress that our team has made over the past year. We believe we have the platform and the people in place to further strengthen and grow our business. I want to thank you for joining us on today's call and if you have any further questions please don't hesitate to contact us. Otherwise we look forward to speaking with you again next quarter.
Operator: Thank you everyone. That does conclude our call for today. You may now disconnect.